Operator: Good morning. My name is Colin, and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy’s 2022 Q3 Results Conference Call. All lines have been placed on mute at this time to prevent any background noise. After the speakers’ remarks, we will have a question-and-answer session. [Operator Instructions] Thank you. Mr. Derek Evans, CEO. You may begin your conference.
Derek Evans: Thank you, Colin. Good morning and thank you for joining us to review MEG Energy’s third quarter operating and financial results. In the room with me this morning are Ryan Kubik, our Chief Financial Officer; Darlene Gates, our Chief Operating Officer and Lyle Yuzdepski, our General Counsel and Corporate Secretary. I would like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in our disclosure documents filed on SEDAR and on our website. I will refer listeners to yesterday’s press releases for more detail beyond the comments we have prepared for this morning. MEG's focus on safe, reliable and sustainable operating performance has once again delivered strong results for investors. In the third quarter, MEG achieved record production levels that are a reflection of our continued focus on operational excellence, including optimizing well spacing, enhanced completion designs, capital-efficient well redevelopment programs and steam allocation techniques that are lowering steam oil ratios and associated greenhouse gas emissions intensity. We remain laser-focused on debt reduction and share buybacks, having repaid $1.1 billion of debt and bought back $186 million of shares to the end of the third quarter. Net debt at the end of the quarter hit US$1.2 billion. And as a result, we are increasing our free cash flow allocated to share repurchases to 50%. These results were delivered through the dedication, hard work and innovation of the entire MEG team. I want to congratulate and thank them for their milestone achievements. I'm going to change the format of the call this quarter and ask Darlene Gates, our COO, to speak to our operating results and ask Ryan Kubik, our CFO, to talk to our financial results. Before I open the call to questions, I'll provide an update on the pathways alliance efforts during the quarters. Darlene, over to you.
Darlene Gates: Thanks, Derek. MEG is a leader in innovative and responsible energy development, and our team continues to focus on the delivery of safe and reliable operations from our Christina Lake asset. This year, we've taken several important steps to restructure and strengthen our operating organization to drive efficiencies and improvements in our performance. We've invested in the new safety leadership development program for both our employees and contractors and elevated our attention towards operational excellence. In the third quarter, we achieved record bitumen production of 101,983 barrels per day, exceeding our previous record achieved in Q1 2022. We also achieved this production with an improved steam oil ratio of 2.39. These results were driven by a capital-efficient well redevelopment program and the startup of our recent pad in August, which we accelerated through an improved steam utilization strategy. We are excited because this is the first path that fully implements our optimized well spacing and enhanced completion designs. So far, results have been encouraging, and we recently achieved a new monthly production milestone of over 110,000 barrels per day in October. Strong field and plant reliability, coupled with targeted high-quality resource additions have been key in our ability to achieve increased throughput of our central processing facility. This positions MEG to deliver another strong quarter and to achieve the upper end of our June 29, 2022 production guidance range. We also continued to deliver this production efficiently. In the third quarter, our non-energy unit operating cost declined to $4.50 per barrel, helping reduce our year-to-date cost of $4.90 per barrel. While we continue to experience higher-than-planned inflationary impacts, we are on target to deliver at the low end of our June 29, 2022, non-energy OpEx guidance range. This performance is a testament to our operations and technical teams and their continuous efforts to generate the highest value from our top-tier assets. We are encouraged with how our continued focus on operational excellence positions make heading into 2023. I look forward to updating you on the continued progress of our operating plans for the next year when we release our 2023 guidance. With that, I'll hand it over to Ryan to discuss the financial performance.
Ryan Kubik: Thanks, Darlene. MEG remains focused on allocating free cash flow to debt reduction and returning cash to shareholders through share buybacks. In the first nine months of this year, we generated $1.3 billion of free cash flow, allowing us to reduce debt by $1.1 billion and returned $186 million to investors through the repurchase of 10.1 million shares. As a result of that strong free cash flow, we reached US$1.2 billion net debt, our net debt target at the end of September, and we've increased our free cash flow allocation to share buybacks to 50%. The remaining free cash flow will be used to reduce net debt further towards our net debt target, our next target at US$600 million. Adjusted funds flow in the third quarter of 2022 rose to $496 million or $1.61 per share as lower bitumen realization compared to the second quarter of 2022 was more than offset by higher sales volumes. Third quarter WTI prices declined US$16.86 per barrel, and the Edmonton WCS benchmark widened US$7.06 per barrel from the second quarter. As a result, our bitumen realization after net transportation and storage declined 28% to $74.75 per barrel. Bitumen sales rose 31% to 95,759 barrels per day, a 31% increase over the second quarter, as we came out of turnaround at our Christina Lake facility in Q2. MEG sold 66% of its sales volumes in the US Gulf Coast in the third quarter. Non-energy operating costs decreased to $4.49 per barrel of bitumen sales in Q3 2022, from $5.65 per barrel in Q2 2022, mainly reflecting increased volumes whilst following the turnaround. Energy operating cost net of power revenue averaged $0.96 per barrel in Q3 2022 compared to $7.32 per barrel in Q2 2022. The decrease reflects a lower AECO natural gas price and higher Alberta power prices. Our third quarter realized power sales price rose to $217 per megawatt hour from $118 per megawatt hour in the second quarter. As a result, power revenue offset 84% of our energy operating costs in the third quarter, demonstrating the value available from our cogeneration facilities. With our major second turnaround complete, capital expenditures declined to $78 million in the third quarter of 2022, resulting in $418 million of third quarter free cash flow. We used that free cash flow to repurchase US$262 million or about CAD350 million of senior notes in the quarter. In addition, we repurchased $92 million or 5.6 million MEG shares. These results demonstrate our commitment to executing on our financial strategy. Our realized debt reduction has materially reduced MEG's financial risk. And our focus on production, operating and capital cost discipline has allowed us to return significant cash to shareholders. With that, I'm going to hand it back to Derek for some comments on Pathways Alliance.
Derek Evans: I'm pleased to share that MEG and our Pathway Alliance partners are making significant progress in advancing the early work to build one of the world's largest carbon capture and storage facilities. The goal of this unique alliance and the project is to support Canada in meeting its climate commitments, position Canada as a preferred global supplier of crude oil and to achieve net zero greenhouse gas emissions from oil sands operations by 2050. On October 4, the alliance was one of 19 CCS proposals chosen to proceed to the next stage of evaluation by the Alberta government. Securing the right to exploratory work enables the alliance to establish the suitability and capacity of the CCS storage hub, which is an essential part of its plan to reduce emissions by 22 million tons per year by 2030. MEG would like to acknowledge the Alberta government's continued support as we work together to decarbonize emissions from the oil sands. Stakeholder engagement and engineering work to develop the project is already underway. The alliance has progressed engagement with more than 20 indigenous communities along the proposed CO2 storage corridor and completed pre-engineering for the CO2 pipeline. In addition, the alliance is conducting field programs to support regulatory applications and engineering studies related to the CO2 capture facilities. The alliance partners have also identified $24.1 billion in investments in CCS and other emissions reduction projects by 2030 as part of the first phase of its goal to reach net zero emissions from the oil sands by 2050. The Alliance continues to work with the federal and Alberta governments on the appropriate co-investment mechanisms, in addition to the planned federal investment tax credit required to get major CCS projects off the drawing board and into the field. MEG is encouraged by the urgency expressed by the federal government to advance major energy infrastructure projects and to stay globally competitive on clean technology investments in Canada. We appreciate the recognition by the federal government that Canada must be on a level playing field with incentives equivalent to those contained within the US Inflation Reduction Act in order to kick start major projects. The introduction of the Canadian growth fund with mechanisms that include carbon contracts for differences and off-take contracts, could offer added certainty for major decarbonization investments and help get projects to final investment decisions faster. As I bring my remarks to a close, I once again want to extend my thanks to our team for their commitment and their perseverance, I am proud of what we've been able to accomplish and confident in our future and our commitment to sustainable, innovative and responsible energy development. On behalf of MEG's Board of Directors and our management team, I want to thank you for your support. With that, I'll turn the call to our operator to begin the Q&A.
Operator: Thank you, Derek. Ladies and gentlemen, we'll now conduct a question-and-answer session. [Operator Instructions] Your first question comes from John Royall from JPMorgan. John, please go ahead.
John Royall: Hi guys, good morning. Thanks for taking my question. So on production, it looks like 4Q implied by the top end of the full year guidance range should be a very strong number. So I'm wondering how sustainable that 4Q run rate is into next year. And I appreciate that you have turnarounds every year, which means it's not going to be the full year run rate, but just trying to understand if the strength and production can continue?
Darlene Gates: Okay. Thanks, John. This is Darlene. I'll answer your question. I think as you look into 2023, we have plans in place. We're working through our development plan right now into 2023. And we are expecting a strong year to take the results from 2022 and feed that into 2023. Of course, you're going to see the impacts of the turnaround and some of our planned maintenance that will bring that number that you're hearing in the fourth quarter down. But overall, we're expecting a strong 2023.
John Royall: Great. Thank you. And then just sticking with guidance, just looking at your cost guidance and how it's evolved, it's impressive that you guys have gone the whole year and only had a very modest bump to the OpEx guide, at least on the non-energy side and now guiding to the low end and no increase in CapEx. So, obviously, on the energy side, you've had to deal with some inflation there, but can you talk about how you've been able to manage costs through this inflationary period, both the non-energy OpEx and the CapEx?
Darlene Gates: Certainly, John, it's Darlene. I'll go after that one as well. First of all, I think we got to give the credit to our teams. They have done an outstanding job of looking at their development opportunities, reprioritizing and looking at their supply chain management as also the partners and the relationships with our contractors. There's been strong engagement and a collective discussions that are helping us really forecast how we're moving in. You would probably recall that we started the 2022 budget with about a 10% contingency in the last quarter. We mentioned we were seeing an upward pressure of 15%. Team has been working very well to try to find the offsets on that in our operating and our capital budgets. As we look ahead, we're expecting to see that, that -- while the inflation is moderating, we're still expecting to see still upwards of close to 10% in 2023.
John Royall: Thank you.
Operator: Your next question comes from Neil Mehta from Goldman Sachs. Neil, please go ahead.
Nicolette Slusser: Hi, good morning. Thank you for taking the time. This is Nicolette Slusser on for Neil Mehta. So the first question we wanted to ask about was any commentary around further leverage reduction after meeting the recent net debt target. And then on shareholder returns, if a relative preference would still be around buybacks versus some dividend?
Derek Evans: Yeah, for sure. We are going to continue on with the current strategy here of reducing net debt. So 50% of our free cash flow is going to be allocated to share buybacks. That will continue. As we move forward in time, the other 50% is going to be allocated to reducing debt. As we move forward in time, we add the next debt target at US$600 million. When we approach that target, we will consider looking at other alternatives, whether it's reducing debt even further, introducing a dividend as part of the return of capital strategy, et cetera. But as we move through 2023 here, you're going to continue to see us execute the existing strategy that is share buybacks and reducing our debt down to this $600 million target.
Nicolette Slusser: Okay, great. Thanks for the color there. And then just on the more macro side of things, how are you thinking about the recent WCS widening and the differential into next year until TMX is set to come online?
Derek Evans: Nicolette, it's Derek Evans. Obviously, we're not very pleased with the recent widening, but we believe it's really a temporary change in the global supply-demand balance for heavy sour crudes. We expect that dips are going to moderate as we move into next year, and they'll tighten in line with reduced supply and increasing demand. If we go in and fundamentally look at what those factors are, what changes between now and then. We see the SBR releases concluding. We see expanding Russian sanctions taking effects. Obviously, OPEC is planning on cutting some production, and we believe that will be our heavy sour. A big factor in the whole dip is really the COVID sort of positioning of China. We expect that, that will -- as we move through the first quarter, they will relax and move out of their current COVID stance, and you should see a supply or demand increase there. And I'd say that as we look at Europe and their current natural gas prices, which have really sort of curtailed processing of heavy crudes, given the amount of natural gas that you need, we fully expect that that will -- as gas prices come down, there will be more demand there for heavy sour crude. So, as we roll all that up, we think the fourth quarter of this year, we'll probably see WCS in that $28 region start to moderate in the first quarter down to $24. Q2 and Q3 sort of $16 and $14, and in Q4, with TMX coming on late in the quarter, we expect the WCS differential to be in that $12 to $14 range really fully reflecting pipeline economics and a more a better supply-demand balance for heavy crude.
Nicolette Slusser: Very helpful. Thank you.
Operator: Your next question comes from Menno Hulshof from TD Securities. Please go ahead.
Menno Hulshof: Thanks and good morning everyone. Maybe I'll just follow-up on the base dividend question. Is there a scenario in which the intrinsic value of your stock becomes an issue and accelerate in statement of the base dividend? And I think we can all agree, we're definitely not there today, but maybe we get there in the future, or is the strategy just to formulaically buy back your stock through the cycle?
Ryan Kubik: Hi Menno, it's Ryan. I mean there is a scenario where the intrinsic value gets high, the share price rises. That's a good result. We're all happy with that. But to your point, we're not there today. So, we believe that we're going to continue with the strategy of share buybacks here through 2023. And as we approach this $600 million target, we will look at other alternatives such as a base dividend to returning that cash to shareholders. So, for now, I think you should expect us just to continue on with the share buybacks. And we will assess that isn't just at all cost go and buyback stock. We'll look at the intrinsic value, but today, we're comfortable that that's not an issue.
Menno Hulshof: Got it. Thanks. Thanks Ryan. And then maybe a question for Derek higher level on -- higher level question on pathways. Is the alliance generally satisfied with the pace of progress, or is everything taking a little longer than expected? And what are the key deliverables for 2023?
Derek Evans: I mean, that's a very interesting question. Are we satisfied with the pace of progress? I think there's a couple of critical time lines. There's a regulatory time line, obviously, in terms of getting the poor space, getting it evaluated and getting that exploratory license turned into a development license. We're moving that as forward as quickly as we can. We have a 2030 target to -- for this pipeline to be up and running. I will tell you, it's a very challenging time line without the sort of regulatory certainty or the financial incentive certainty that we're going to need to make an FID decision. But I guess I would parse this down into two things. We are progressing the engineering work, the survey work. We just led a contract for multiple millions of dollars to get the survey done on the right of way. So we are moving forward sort of faster than you normally would in a company. You would wait typically until you had FID approval on some of the expenditures that we're moving forward on today. With the assumption that we will be able to sort out the regulatory aspects of this as well as the financial incentives that we need to make this to achieve FID. So I don't want to -- I don't -- I think it's easy to say, we could be frustrated, but this is the first time something of this size has been done, I think, in the world, certainly in Canada. And we're breaking new ground with both the federal and the provincial government, as we try and figure out just how to make this all work. So I don't think we're frustrated, but I think we're tired. I mean we've got over 200 engineers and support people working on this project, and we are trying to move it forward as quickly as we possibly can. There's no lack of commitment. There's no lack of will. There's no lack of desire to make sure that this happens. And -- but we do realize this is the first time it's happened, and it's going to take -- we're creating the rules and regulations for future projects that will follow. 
Menno Hulshof: Thank, Derek.
Derek Evans: Thank you.
Operator: There are no further questions at this time. I'll turn it back for our closing remarks.
Derek Evans: Thank you, Colin, and thank you, everybody, that joined us this morning for our third quarter conference call. We're excited about what we've been able to achieve this year and look forward to releasing our 2023 capital program and operational guidance on November 28. We look forward to getting that press release to all of you at that point in time. Thank you, and have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.